Operator: Greetings everyone. All participants will be in listen only mode. [Operator Instructions]. After today's presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please also note, today's event is being recorded. At this time, I would like to turn the conference call over to Mr. Robert Hass, Amtech's Interim Chief Financial Officer. Sir, please go ahead.
Robert Hass: Good afternoon and thank you for joining us for Amtech Systems' Fiscal Year 2016 Second Quarter Results Conference Call. On the call today are J.S. Whang, Amtech's Executive Chairman; Fokko Pentinga, our President and Chief Executive Officer; Brad Anderson, and myself, Robert Hass, Amtech's Interim Chief Financial Officer. At the close of trading today, Amtech released its financial results for the second quarter fiscal year 2016 ended March 31, 2016. Net earnings release will be posted on the company's web site at amtechsystems.com. Please note, this call will include forward-looking statements that involve risks and uncertainties that could cause actual results to differ materially from management's current expectations. We encourage you to review the Safe Harbor statements contained in today's press release and Form 10-Q and risk factors detailed in our Securities and Exchange Commission Filings, including our Form 10-K. I will now turn over the call to J.S. Whang, our Executive Chairman, to begin the discussion. J.S.?
J.S. Whang: Thank you, Robert. Welcome to our discussion today. As always, we appreciate your interest in Amtech and your efforts to join our call to hear about our progress. There is a tremendous global opportunity in solar energy, and we stand as a strong player in the marketplace. The positioning of the solar as a reliable, cost effective, clean energy, and our strategy continues to be -- to stay ahead of tomorrow's expectations. Let's talk about the global marketplace; China continues to be the largest market for solar installation, which is expected to reach close to one-third of the total global capacity this year. The U.S. continues to advance with a forecast indicating significant growth for this year again. The solar market in India is emerging with its rate of growth now exceeding previous expectations. India's goal is to have 100 gigawatt installations by 2012 [ph] from this year's expected capacity of just 4 gigawatt. Japan is expected to add more than 13 gigawatt of new solar capacity this year, and the rest of the global emerging market shows continued expansions. This is clearly indicative of how solar is viewed as part of the global solar solutions -- global solar energy solutions for today and the long term. It is very clear that, solar industry is quickly evolving as a key energy source and needed energy source across the world. Our role is to develop the technologies and products that position our customers for all the manufacturers of solar cells and modules to win in this significant market opportunity. We are focused on the next generation solar cell technology solutions, that are required to address the demand for higher efficiency at a lower total cost of ownership. At Amtech, we will continue to work hard each day, to participate with our customers in this exciting growth opportunity. And now, I will turn the discussion over to Fokko, our CEO. Fokko?
Fokko Pentinga: Thank you. I'd like to note my persuasion for you, taking the time to find us today. I am going to go over some second quarter highlights in just a minute and Robert will discuss our financial results in more detail, shortly. First, J.S. and I would like to acknowledge Brad Anderson, who has served as Amtech's Chief Financial Officer for many years. We announced Brad's plan to retire as CFO on February 25th. So effectively April 1, Robert Hass has shown the responsibility of Interim CFO. Brad is now staying busy in his advisory role and as a director of special projects, he works closely with J.S. and me in certain projects. The search for a Chief Financial Officer is underway and until that appointment, we are in good hands with Robert and his in-depth financial experience and strong financial team supporting him, and Brad continuing in an advisory capacity. So I am very confident that we will make seamless transition into the future. And now, let's discuss the second quarter results; I'd like to emphasize, that we are very pleased with the progress made in the quarter. We had strong bookings, with the increase in both bookings and backlog, validating that we are converting and growing the quotation pipeline into sales. We are pleased with our $45 million bookings in the second quarter, including $28 million of solar orders, which is the highest solar bookings since the March quarter of fiscal 2011. With those bookings, we now have a backlog of $67 million, which is a 57% increase over that of December 31st and the highest in four years. We now look forward to converting this backlog to shipments and revenues over the next couple of quarters, and we look forward to continuing to pursue more wins in the active close [indiscernible]. Our global team stands out in many ways, as we continuously prepare for the growth in solar with the expectation to expand our market reach, deepen our relationship with current customers, develop new customer relationships around the globe and build our technologies and product portfolio with market leading solutions. Planned improvements to our SoLayTec RMD tools are on schedule and our high throughput PECVD tools advancements are also on schedule. We are seeing interest in our SoLayTec atomic layer deposition system in combination with our Tempress PECVD system, which is designed to increase core efficiency and reduce customer total cost of ownership. Besides these equipment taxes [ph], we are in discussion with prospective customers and some major technology turnkey projects for cell production lines. It is clear that there is an increasing capital spending in the market today. Yet, it would be premature to validate any sequential trend. Rotation activity continued to be strong. There is no doubt about a longer term demand, because as J.S. commented, there was a tremendous global support for solar energy, and we are very well positioned to participate in that growth opportunity. Now let me take a minute to talk about semiconductor and polishing segments. With respect to our goal to have a diversified mix of revenues, we are encouraged by new orders and backlog for our electronics and LED business that reflects sequential year-over-year improvements. Although a firm upturn is yet to be established, the quarter indicates some positive momentum, with a modest top line growth. We look forward to continued improvements in the semiconductor CapEx spending in the second half of calendar 2016, the opportunity to more fully optimize our operating efficiency in a more robust marketplace. And now, Robert will go over our second quarter fiscal year 2016 financial results. Robert?
Robert Hass: Thank you, Fokko. Total customer order in fiscal 2016 were $45 million, of which $28 million were solar. This compares to $35.6 million in the preceding quarter, of which $23 million were solar. In the second quarter of fiscal 2015, orders totaled $30.9 million, including $16.7 million of solar. At March 31, 2016, our quarter backlog was $67.3 million, including $51.3 million in solar orders. The effect of foreign exchange on our backlog was an increase of approximately $1.9 million. As a reminder, our backlog includes deferred revenue and customer orders that are expected to ship within the next 12 months. Net revenue for the second quarter of fiscal 2016 was $22.5 million, compared to $22.1 million in the preceding quarter and $24.3 million in the second quarter of fiscal 2015. The decrease from the second quarter a year ago, is primarily due to lower shipments caused by the cyclicality of the semiconductor industry and the polishing segment. Gross margin in the second quarter of fiscal 2016 was 27% compared to 27% in the previous quarter and 28% in the second quarter of fiscal 2016. The slightly lower margin in Q2 of 2016 compared to a year ago, resulted in primarily from lower usage of previously reserved inventory in the solar segment and lower sales volumes in the polishing segment. Selling, general and administrative expenses in the second quarter of fiscal 2016 were $7.4 million compared to $7.6 million at the preceding quarter and $8.1 million in the second quarter of fiscal 2015. The decrease compared to a year ago, results primarily from lower legal and consulting expenses related to the activity that led to the company's acquisition of BTU in January 2015, as well as lower commission expenses, partially offset by the inclusion of BTU for a full quarter in 2016 compared to a partial quarter in Q2 2015. Research, development and engineering expense was $2.2 million in the second quarter of fiscal 2016 compared to $2.3 million in the preceding quarter, and $800,000 in the second quarter of 2015. The higher RD&E expense compared to a year ago, is primarily due to lower grants earned resulting from the deconsolidation of Kingstone in fiscal 2015 and increases in spending resulting from inclusion of BTU and SoLayTec RMD since acquisition, which partially offset by lower spending due to the deconsolidation of Kingstone. Depreciation and amortization in the second quarter of fiscal 2016 was $0.7 million compared to $0.8 million in the preceding quarter and $0.9 million in the second quarter of fiscal 2015. Income tax expense was $1.7 million for the three months ended March 31, 2016, compared to $0.3 million in the preceding quarter and $0.2 million in the second quarter of 2015. During the quarter, we had a $2.6 million pre-tax gain from the sale of our exclusive sales and service rights on the Kingstone ion implanter. Tax expense in Q2 2016 is primarily related to the tax on that gain. The net loss for the second quarter in fiscal 2016 was $1.5 million or $0.11 per share compared to a net loss of $4 million or $0.31 per share in the preceding quarter and a net loss of $2.3 million or $0.19 per share for the second quarter of fiscal 2015. Total revenue by geographic region for the second quarter was the Americas at 20%, Asia-Pacific at 58% and Europe at 22%. We had unrestricted cash and cash equivalents of $31.8 million at March 31, 2016. That compares to $22.6 million at December 31, 2015. The increase in cash and cash equivalents is primarily due to cash received from the sale of our exclusive sale and service rights for the Kingstone ion implanter, as well as custom deposits, partially offset by operating loss. Now for an outlook; the company expects revenues for the quarter ended June 30, 2016, to be in the range of $30 million to $33 million. Gross margin for the quarter ending June 30, 2016 is expected to be in the mid-20s percent range, negatively impacted by product mix, with operating margins slightly negative. Operating results could be impacted by the timing of system shipments and net impact of revenue deferral on those shipments and the recognition of revenue, based on customer acceptances, all of which can have a significant effect on operating results. The substantial portion of our revenues are denominated in euro. The revenue outlook provided today is based on an assumed exchange rate between the United States dollar and the Euro. A significant decrease in the value of the euro, in relationship to United States dollars could cause actual revenues to be lower than anticipated. This concludes the prepared remarks portion of our conference call. Operator, please open the call to questions.
Operator: [Operator Instructions]. And our first question comes from Sven Eenmaa from Stifel. Please go ahead with your question.
Sven Eenmaa: Okay. Thanks for taking my questions and congratulations on a solid performance. Wanted to ask first, in terms of the coding activity you mentioned, which remained strong; under your coding activity, what is the timing of expected deliveries of equipment there? What timelines are being discussed?
Fokko Pentinga: That's a good question Sven. Fokko here. That differs from the type of product; but one thing is for certain that customers need quicker deliveries now than they used to do, let's say, a couple of years ago, and we made sure that we are able to do that, not on every case, but our operations are set to do it quicker. So you are talking about five/six months, but it could range from shorter for certain products to longer for major larger volumes. But we are set up to be a bit more flexible than anywhere in the past.
Sven Eenmaa: Got it. And then in terms of geographies, what are the kind of key areas which are kind of adding capacity here?
Fokko Pentinga: That is still relatively the same for us. Mostly, it is China, Taiwan and Southeast Asia, where we are doing a bit more in Malaysia, so that's the area. You add up the three, then you got a large portion of what we do and where the capacity addition is. As you look at other areas, that is still more in the planning stage, but not really adding capacity. So these are the areas where we are strongest. Of course, there are more areas that add capacity, but that is for us, the most important area.
Sven Eenmaa: Got it. That's very helpful. And second question I had is, in terms of a margin cadence here, what are your expectations when you look at third quarter versus kind of second quarter here; like, do you expect your semiconductor and polishing revenues to increase, and what is the kind of margin profile on those revenues? Would you expect to [indiscernible] margin profile BTU used to have?
Fokko Pentinga: Well, as we stated, we are guiding to approximately the mid-20s for the entire company and the solar of course, is the biggest part of the top line, both normally, and particularly in quarter three. So we only see a slight increase in the semiconductor, and so we don't expect to achieve the efficiencies we see that we think are potential.
Sven Eenmaa: Also, for the shipments now. The solar and the market of course has changed, so we now have new equipment, new technologies, and really great machines, but the volumes we had five years ago when we had hundreds of machines a year, and we are not -- and those volumes yet -- also we have the selling prices high after the throughputs are double. So there is still some -- we need a few quarters where the material cost price would come down, and you need some time for that. So that would improve that over time, also on the solar side. LED, as we mentioned, is still relatively weak. Also there, we hope to see some improvement later on, but not necessarily already in next quarter.
Sven Eenmaa: Got it. And then the last question I had is, in terms of when you think about your operating and earnings breakeven or getting into positive territory, what would the revenue run rate need to be for that?
Robert Hass: We generally don't guide on that. So we need to get back to you on that.
Fokko Pentinga: But it's very -- depending on the mix of products. So with the growth of the solar side in volume, and we are now having a nicer backlog; so the volumes go up, that certainly does help. But we don't guide exactly. The first quarter you will see, we are in the black, you do that times four and overreact [ph], but we have some idea, but we don't state it yet.
Sven Eenmaa: Got it. Thanks so much.
Operator: [Operator Instructions]. and ladies and gentlemen, at this time, in showing no additional questions, I'd like to turn the conference call back over to management for any closing remarks.
Robert Hass: Thank you for your time today and for your interest in Amtech. This concludes our call today. Thank you.
Operator: Ladies and gentlemen, with that, we will conclude today's conference call. We thank you for attending today's presentation. You may now disconnect your lines.